Operator: Welcome to the conference call regarding the publication of Gerresheimer AG's Q1 Results 2023. At the moment all participants have been placed on a listen-only mode. The floor will be open for questions after the presentation. Now I hand over to Ms. Carolin Nadilo, Head of Investor Relations at Gerresheimer AG. Please go ahead.
Carolin Nadilo: Hello, everybody. Nice to have you on this call today as we release our Q1 results. With me today here in Dusseldorf are, as usual, our CEO, Dietmar Siemssen as well as our CFO, Dr. Bernd Metzner. As usual, we are presenting a set of slides accompanying the management's notes and followed by the Q&A session. Please note, this call is being webcast live and will be filed on our website too. And before we start, I have to remind you that the presentations and discussions are conducted subject to the disclaimer. We will not read the disclaimer, but proposed taken it as read into the records for the purpose of this conference call. And now it's my pleasure to turn the call over to you, Dietmar. Please go ahead.
Dietmar Siemssen: Yes. Thank you, Carolin, and welcome, everybody. Thank you for joining us today for the presentation of the results of Gerresheimer for the first quarter of 2023. Bernd Metzner, you heard it already our CFO, and I will now run you through the highlights in our, actually a good start into the financial year 2023. We'll then be happy to take your questions. Yes, a strong first quarter. It illustrates the success of the transformation of Gerresheimer and how far we have come since the launch of our Formula G strategy process in 2019. The dynamic level of Gerresheimer remains high. We are consequently setting the pace for our sustainable growth path. The key activities can be fondled in the three core priorities accelerate, execute and innovate. And that is exactly what we do at Gerresheimer. As a result, we accelerate growth, deliver margin expansion with at least 10% organic growth in both revenues and also adjusted EBITDA. To execute our strategy and translate strong order intake into profitable growth, with the continuous focus also on the operational excellence. The strong focus on engineering, innovation and increased research and development capabilities to clearly boost our market-leading position and brand access to highly attractive new business opportunities. We have started the financial year 2023 with a strong first quarter. Revenues rose organically by 21%. Adjusted EBITDA grew organically by almost 25% and the adjusted earnings per share grew by 13.4%. Our strategy is taking full effect. All business segments and regions are contributing for the strong organic revenue growth and we are becoming sustainable, more profitable quarter-by-quarter. Investments of recent years are paying off. As evident by the significantly higher growth rates and the margin expansion, gaining momentum with a double-digit increase in the first quarter 2023. Based on these good results, Gerresheimer confirms its forecast for the financial year '23. The first quarter of '23 is a further proof point that we are on the right track as a growth company in 2023 and of course also beyond becoming sustainable, more profitable. The success story of Gerresheimer in the fiscal year 2023 is based on a solid foundation. Multiple growth drivers in all areas and regions are contributing to our unique growth momentum. Amongst the key growth drivers are High Value Solutions, Medical Devices, Containment Solutions and Glass and Plastics and other advanced growth drivers. Ready-to-fill solutions and syringes, vials, cartridges are driving growth in High Value Solutions. In 2023, we will have a particular focus on ready-to-fill vials, where we are ramping up our capacities. Our syringe segment offers a broad range of innovative solutions like baked-on silicon syringes like silicon-free systems like dual chamber syringes or the Gerresheimer's Innosafe solution. As we double our syringe capacity, we expect to triple our revenues in this area within the next years. I will repeat this because it's so relevant, as we double our syringe capacity, we expect to triple our revenues in this area within the next five years. We're also well established in the market for Medical Devices such as inhalers, pens where we are catching the wave. Our autoinjectors and pens are growing significantly. Substantial new orders for autoinjectors will further boost our growth in Medical Devices and clearly confirm our strong market leading position. And also in Moulded Glass, we see a strong momentum, the benefit from our strong market position. Our order books are well filled with new orders in both Europe and Asia. The transformation process that we initiated with the start of our strategy process Formula G in 2019 has already significantly changed our company. Gerresheimer now is a profitable growth company, which operates as an innovative leader and solution provider. With a strong customer orientation and focus on the highest quality, we have continuously improved our competitiveness. We have continuously improved our competitiveness and demonstrated resilience. We are now able to benefit from successful implementation and the impact of our strategy. Our broad product portfolio, our quality and innovation leadership makes us a partner of choice for all major pharma and biotech companies. We are serving them with technical solutions and services. They also enable us to address new trends like fighting obesity, for example, with GLP-1. GLP-1 is one example of the increasing demand in biological solutions and one of the key growth accelerators. The growth in GLP-1 offers us unique opportunities for profitable organic growth. The recent contract wins with leading pharma companies reflect our strong position in syringes and medical devices and also solid containment. We support the GLP-1 treatment with specific solutions like autoinjectors and bypass syringes and have seen first contributions from these large Eagle contracts already in the first quarter. Significant large business opportunities would lead to an ongoing expansion of our global footprint as we are producing in the region for the region for our customers. Let's take a closer look at the next blockbuster of the pharmaceutical industry, GLP-1, and its relevance and growth opportunities. The GLP-1 is an incretin with the ability to decrease blood sugar levels by enhancing the secretion of insulin. Besides that, GLP-1 has been associated with numerous regulatory and protective effects. The action of GLP-1 is preserved in patients with Type 2 diabetes, substantial pharmaceutical research has therefore been directed towards the development of the GLP-1-based treatment. GLP-1 is already a significant market today. The opportunities and it's growing at a high pace. Let me remind you that the relevance and huge scale of grown opportunity for treatment across diabetes and obesity that are highlighted by experts. The number of people affected by diabetes is expected to grow from 537 million today to almost 800 million by 2045. The global diabetes market has recorded a good compound annual growth rate of 5% between 2018 and 2021 and is now standing at US$55 billion. GLP-1 therapies are growing even stronger by 39% in 2022 to US$19 billion. Obesity affects more than 764 million people. Jefferies forecast sustainable -- substantial diabetes and obesity at GLP-1 market growth to more than $150 billion likely the biggest drug class ever. Evaluate Pharma estimates the diabetes and obesity GLP-1 market generally pointing to $40 billion to $50 billion and market opportunity by late 2020 from -- that would be $20 billion today. And JPMorgan expects a significant increase of GLP-1 use. According to a study positions anticipated a 20 point market share increase in GLP-1 use over the next seven years to close to 50% of their patients by 2030. These figures illustrate the importance of our Medical Device business, but we will serve our customers with other solutions like utilizing the broad portfolio of medical devices, syringes, cartridges and also plastic packaging solutions. The Medical Device business strongly supports Gerresheimer to grow above average. This growth is based on various pillars. Our global footprint, resulting in a close proximity to our customers. We are producing in the region for the region, as I mentioned. Our long-term industrialization expertise, one of our core competencies, making us the partner of choice to our broad customer base. Our strong competitive market position, leading to the ability to grow margins. Our innovative and broad product portfolio addressing global megatrends across the customer value chain. And finally, our global key account management, allowing cross-selling opportunities of one Gx Solution and, of course, with this an increasing market share. The following chart gives us an impression of our global presence. The support of our customers starts early in the development phase of a product. We support customers all the way through from the preliminary stage of drug development to finding the best possible containment and delivery solution for clinical trials and serial production. Clear competitive advantage is our global presence with 36 production sites spread across three continents, including nine production sites for Medical Devices that we have highlighted in yellow on this chart. The international footprint strengthens our position as a global solution provider and enables us to offer customized solutions across the world, ensuring a secure and reliable supply for our customers. We are combining services, technologies and products into tailored drug delivery solutions to improve patients' lives. Our broad portfolio covers the three core segments. Containment Solutions. This is the area where we bring the drug to the patient. Drug Delivery Systems, that's the segment where we bring the drug into the patient. And of course, the third area, which is the Digital Treatment Support, that's an area that is new where we ensure safe optimized course of the therapy. With our broad range of containment solutions such as solutions for liquid or solid drugs, we are the strategic partner of choice for the global pharma and biotech solutions industry. The containment solutions are an important pillar for the implementation of our holistic growth strategy. So after this short deep dive into the Medical Device business, I hand over to Bernd for the financial details of the first quarter in 2023. Thank you.
Dr. Bernd Metzner: Thank you, Dietmar, and welcome everybody also from my side. Let's dive into the analysis of the key financials for the first quarter 2023. The outcome for the first quarter 2023 was once again very strong. We delivered double-digit organic growth in both revenues and earnings. Reported revenues increased from EUR371 million in Q1 2022 by 23.5% to EUR458 million in Q1 2023. We had an FX tailwind of around EUR4 million, mainly coming from a stronger US dollar. The organic revenue increase amounted to 21% with around 70% of this driven by volume growth and mix effect. Reported adjusted EBITDA increased from EUR62 million to EUR78 million in Q1 2023, representing an organic growth rate of 24.8%. Adjusted EPS increased from EUR0.63 by 12.7% to EUR0.71. Stripping out the FX effects, organic adjusted EPS growth amounted to 13.4%. Let's continue with a deep dive into the divisions. Plastic and Devices reported revenues in Q1 2023 grew from EUR186 million by 23% to EUR229 million. There was an FX benefit of around EUR2 million. The organic revenue increase was therefore 20%. In Q1 2023, we had very strong contributions from medical plastic systems as well as from plastic containment solutions. Three items to highlight. First, Medical Devices is gaining further momentum demonstrated by a growth rate above 30% in Q1 on the back of the execution of full order books. Second, our primary plastic packaging business, including Centor, achieved strong underlying volume growth in the first quarter. Third, against tough comps in Q1 2022, our syringes business showed phasing effects in Q1 2023. These were mainly due to later shipments to customers and the ramp-up of new lines. However, be assured that will be caught up during the year. The adjusted EBITDA increased from EUR40 million in Q1 2022 by 17.4% to EUR47 million in Q1 '23. Excluding FX effects, we delivered double-digit organic growth of 14.5%. The adjusted EBITDA margin of 20.7% reflects the tough comps and the phasing effects in the syringes business that I just mentioned. However, our underlying margin performance is gaining traction and we expect to see margins to improve in the next quarter. Now to Primary Packaging Glass. The Primary Packaging Glass Division showed another impressive quarter. Reported revenues increased significantly from EUR184 million by 23.5% to EUR228 million. Excluding FX effects, organic revenue growth was 21.6%. Both Moulded and Tubular Glass for double-digit revenue growth. The growth in Moulded Glass was driven primarily by strong demand in high-value cosmetics with additional support from inflationary price increases, as indicated in our Q4 earnings call. The Tubular Glass business continues to benefit from strong demand for our high-value solutions such as Elite Glass. On an as-reported basis, adjusted EBITDA in PPG increased significantly by 34.3% to EUR41 million in Q1 2023. Organically, adjusted EBITDA grew at essentially the same rate. Now Advanced Technologies. Advanced Technologies is running on plan. Reported revenues were EUR3 million for Q1 2023. Adjusted EBITDA was minus EUR3 million, unchanged versus Q1 2022. As a reminder, at Advanced Technologies, we continue to strive to establish Gerresheimer as an innovative original equipment manufacturer for smart and connected devices in the healthcare industry. As a brief update since our last earnings call, as planned, our partner SQ Innovation has submitted a new drug application to the FDA for an innovative drug device combination for treatment of congestion due to fluid overload in patients with heart failure. Infusors, as you know, is our patch pump for subcutaneous delivery. Subcutaneous delivery by the infusor enables home use for common treatment, which otherwise typically requires hospital admission, very interesting. This is further evidence of GAT's increasing relevance and illustrates how it will contribute to our growth and margin acceleration. And now we'll have a closer look at the cash flow. Free cash flow was with minus EUR96 million fully in line with our expectation. As you know, the typical pattern for seasonal business like ours is that net working capital is at the beginning of the year higher. Later in the year, this reverses and we generate a higher cash inflow from the reduction of net working capital. This will occur also this year. Now to zoom into Q1 2023. The additional funds tied up in net working capital amounted to EUR92 million. The effect was attributable to a lower level of factoring, an increase in inventories aligned with our seasonal business like in previous year and a decrease in payables, which was primarily driven by rebound effects. Notwithstanding that we invested in Q1 '23 around EUR51 million more in working capital than in Q1 2022. We plan for the full year with a lower buildup of net working capital than in the previous year. In other words, we will catch up in the next quarters in this area. One remark regarding the other line. The minus EUR22 million includes, among others, bonus payments for our employees which are paid out in the first quarter of the year. And as we had a particularly strong financial year in 2022, this effect was accordingly higher. In Q1, our gross CapEx stood at EUR68 million in line with the previous year as we continue to invest in global injectable capacities and further ramp up contract manufacturing projects. Also in Q1, we received cash from government grants amounting to EUR21 million, so net CapEx was EUR47 million. Finally, our positive EBITDA performance led to a 0.1 times improvement compared to previous year quarter in our financial leverage to 3.2 times. Before handing over to Dietmar, I'm delighted to announce that Carolin Nadilo, our current Head of Investor Relations will internally be promoted into the role of Divisional CFO of our Plastic Packaging Division at Gerresheimer from 1st of July 2023. Congratulations Carolin for this next step in your impressive career so far. And thanks for all your added value and dedicated services towards our equity story and to all the potential and actual investors in recent years. Great job. Thank you, Carolin. Christian Losse will step up as Interim Head of Investor Relations. Congratulations Christian. With your expertise, experience and know-how, you will further develop our equity story in the right direction. With this I hand over back to Dietmar.
Dietmar Siemssen: Thank you, Bernd. Let's come back to the figures a little bit. Yes, we have made a very good start into 2023 and we are expecting another strong financial year and confirm with this, our guidance for 2023 for the fiscal year. The result of the first quarter and 2023 have been another proof point that we are a profitable growth company. We are consistently executing our strategy and delivering on our financial targets. Our strategic investments from recent years continued to pay off resulting in significantly higher growth rates and returns across all businesses. We will go on to leverage business opportunities and we'll continue our profitable growth path. This will result, as mentioned in another record year, the revenue and adjusted EBITDA growth for at least 10%. On the back of increasing interest rates, we expect low single-digit organic growth in the adjusted earnings per share, but earnings per share will recover, catch up from '24 onwards. Being more optimistic about our medium-term prospects with organic revenue growth of at least 10% and adjusted EBITDA margins going up to 23% to 25% resulting in organic growth in the adjusted earnings per share of annual at least 10%. In the first quarter of 2023, we have made a strong and solid start to our 2023 financial year, and we expect to deliver double-digit organic growth in revenues and adjusted EBITDA also in the second quarter of 2023. Adjusted earnings EBITDA margin is expected to further improve year-on-year on. We are on track to achieve our targets and we will continue to deliver consistently quarter by quarter. Thank you so far for your time. We are now happy to take your questions.
A - Carolin Nadilo: [Operator Instructions] The first question comes from Anchal Verma from JPMorgan. Hi, Anchal.
Anchal Verma: Hi. Good morning. Thank you for taking my questions. Two, please, on the GLP-1 opportunity. Could you quantify how much of the GLP-1 revenues you've already seen in Q1? I suspect you've mentioned that the revenues have started coming in Q1. And just kind of how you expect it to ramp over in 2023 and as we go into '24, '25 and '26? And then on -- the second question would be on actually pass-through pricing. Have you seen much from pass-through pricing for the quarter? And then just lastly, if you could provide some color on the expected phasing of growth in 2023?
Dietmar Siemssen: Yes, I take the first question, you take the price stuff. The GLP-1, it's just ramping up. I would say, in the first quarter, you saw low single-digit million amount in sales. We are just ramping up the first line here.
Anchal Verma: And any --
Dietmar Siemssen: And Anchal --
Anchal Verma: Yes, please.
Dietmar Siemssen: Solid mid-single-digit million. Yes.
Dr. Bernd Metzner: And for the -- and just what we said last time was actually that we expect that we see revenues between EUR200 million and EUR300 million going forward and over the -- the next couple of years with some margin, which is quite accretive for our business. This is what we said in the last call and we can only reiterate this. Coming to your second question, the pass-through. I mean we grow very strongly around 20 percentage points and what we have seen is 7% volume growth and basically no pass-through effect, technically speaking, based on contractual terms, but here to stay price increases, and around 30% of this growth of 20% was actually based on this kind of here to stay sustainable price increases. And as you know we don't guide for -- for price increases going forward and in our organic growth guidance, there's a very small amount included with here to stay price increases. So also on this front, very clear. Anchal, does that help you?
Anchal Verma: Yeah, thank you very much. That's very clear. And then just lastly, the question was, in 2023, how can we expect phasing through the year, given Q1 has been quite strong? And do we expect the momentum to continue at this level or just how should we think about the rest of the year?
Dr. Bernd Metzner: But what we said is the, Anchal, what we have seen, we have a very good view, obviously, now for the second quarter. And what we are saying is that we -- that we have also in this quarter, the second quarter double-digit organic revenue growth and then EBITDA growth double-digit with an improvement also in the margin actually. This is what we see. And regarding the guidance, we stick to our guidance and maybe we will give up an update in July after our second quarter.
Anchal Verma: Thank you so much. That's very clear.
Carolin Nadilo: The next question comes from Oliver Metzger from ODDO BHF. Hi, Oliver.
Oliver Metzger: Yes, good morning. Thanks for taking my questions. The first one is Bernd on your comment regarding the syringe phasing effect. Could you quantify the magnitude or basically where Plastic and Device growth would have been without this effect? Second question is on Dietmar, your comment regarding doubling the syringe capacity and tripling revenues, how to think on phasing? Is it more an exponential growth pattern you expect or do you see a more linear phasing? That's it from my side. Thank you.
Dr. Bernd Metzner: Maybe I'll take your first question, Oliver, regarding the syringes phasing phenomenon. I mean, what we said was that it performed temporarily relatively weak in Q1, and this was linked in the end of the day to the phasing just mentioned and the ramp-up of our lines here and we expect that in the -- since the upcoming quarters, we will be stronger than the previous year, and this should help us also to bring us a margin uplift. And you will see this in the second quarter, especially to quantify now the phasing effect is quite difficult to do. And therefore I can only say maybe a couple of million, but that makes a difference whether you have a margin increase or not in the first quarter.
Dietmar Siemssen: Yes. I go for the second one. You have to understand what happens at the moment in the syringes. And that's why I mentioned this, we will double the capacity, the number of syringes about three double sales. What this indicates and this is what we are seeing now steadily coming in this year, but it will definitely ramp up over the next years with all the new capacities that we are ramping up is also within syringes. You are switching the portfolio into higher-value products. And that is very, very important for us. So of course this is linked to the new facilities and capacities in both North Macedonia, but also in Carretero, Mexico where we are ramping up new syringe technology solutions, but also new facilities with attractive cost levels and that is definitely helping. So you will see a steady ramp up already starting with over the loop of 2023. But then, of course, with the new facilities, you will see a further acceleration of this effect. So some of the delays that we are talking about in the first quarter, actually also the switching of lines towards the new technology. And the switchover takes, of course, down at the capacities in a certain way that will come back as soon as we have switched the technology or the setup of the lines for the new syringe technology.
Oliver Metzger: Okay. Great. That's helpful. Thank you very much.
Carolin Nadilo: Next question comes from Falko Friedrichs from Deutsche Bank. Good morning, Falko.
Falko Friedrichs: Thank you. Good morning, everyone. My first question is, so considering the softer quarter in syringes in Q1, can you speak a bit more about the strong growth that is implied for your base business in the quarter? And how much of that was driven by capacity expansion versus an accelerating end market demand for these base business products? And my second question is, can you remind us of these government grants that you received in the first quarter and whether there is more coming now or if that was more of a one-off? And then thirdly, can you remind us of your hedging levels for energy prices for this year and also for the next years in light of the declining energy prices? Thank you.
Dietmar Siemssen: The first question. In principle, you can see this when the company is growing more than 20% organically, of course, you can imagine that all areas are really strongly contributing to this effect. So it's a combination of the order books are filled new start-up production of new lines, but also certain areas doing really well. You have to see the flu season was pretty strong. So both Plastic Package and Centor has been doing extremely well in the first quarter. In the Medical Devices, you clearly see the new start-up production with an autoinjector that goes in the direction of GLP-1. Let's see the first sales that an earlier question from JPMorgan covered. We are very strong in Moulded Glass. We are doing very well in the other areas of Tubular Glass. So I think the whole business company is strongly contributing to the story. So, yes, that's -- it's clear with more than 20% organic growth, there is a lot of dynamic in all the areas. Plants are filled. Capacity is well filled, which is very good.
Dr. Bernd Metzner: Taking over your second question regarding, Falko, regarding your government grants. We had around EUR20 million in the first quarter. Basically, they are stemming from government grants more or less 50-50, one from Europe, especially Germany for our Wertheim's plants and the other 50% from our activities in the U.S. in Morganton. And here, we expect especially for Morganton, EUR50 million yet to come, but spread over the next couple of quarters. This is something that you should expect for the government grants. Regarding your third question regarding the hedging. And, as you know, we don't disclose our hedging price. Actually, what I can tell you is that the -- what you mentioned is that the price were going down, but definitely, it's not a burden for us in light of our hedging price, if you want to say so. And this part, which we have not hedged this now for us, obviously, quite beneficial in comparison to what we have originally forecasted for energy prices for 2023. I hope it is clear now, Falko. It is more or less unchanged. Good.
Falko Friedrichs: Yes, it is. Yes. Thank you.
Carolin Nadilo: The next question comes from Alexander Galitsa from Aufhauser. Hi, Alex.
Alexander Galitsa: Yes. Thank you for taking the questions. Just the first one, more of a housekeeping. How much interest expenses would you expect for the full year? I think initially it was -- you were expecting EUR40 million to EUR45 million. We are at EUR11 million in Q1 with an expected increase in the back half of the year. So is it more like EUR50 million or if you can give any color?
Dr. Bernd Metzner: I would assume between EUR40 million and EUR50 million, something like this. It's always difficult to forecast because we don't know how the -- how the ECP is reacting. You know that we have 50% of our debt is fixed and 50% is almost, a little bit more even than 50% is fixed the remainder variable. And this is the best guess of today, I would say, between EUR40 million and EUR50 million and we plan accordingly.
Alexander Galitsa: Okay. The reason I'm asking is that this EUR10 million range, I think, has quite implication on your adjusted EPS guidance background. But thanks for the color.
Dr. Bernd Metzner: I'm not sure. I'm not sure. Sorry.
Alexander Galitsa: I just want to -- sort of further understanding the high value solution as a sort of analytical category. Is this -- are you not planning to report kind of growth revenues in this category going forward on a consistent basis or what's your plan here?
Dietmar Siemssen: I think we've -- in a certain way, it's not a -- of course, we have group products in this. We have actually spoken about this at the last Capital Markets Day, where you clearly see that the high values are growing with a rate of 25%, something like this, and they are really moving up. And I think that's something that you can take out of the presentation here in the -- from the last Capital Markets Day. And I think we repeated this, Carol, in kind of been last quarter.
Carolin Nadilo: Yes. Yes, we are regularly reporting on that.
Dr. Bernd Metzner: Also going forward, Alex, we will report our High Value Solutions. As you know, this is one of our drivers for our margin improvement. This is something what you will see also going forward.
Dietmar Siemssen: Yes, it's pretty interesting because we have now -- with increase in competitiveness in the market with the attractive new orders that we actually are bringing in. We have actually -- besides the high -- what we call the High Value Solutions, we have an increasing amount of products that are very similar in the behavior of the profitability, but they are not in this category, but they still support our mix effect over the loop of the next years.
Alexander Galitsa: Understood. Thank you. And then just one on R&D expenses that you see in P&L in Q1. They basically doubled. I mean still from a low number, but still cost you some margin. Could you provide any color, what was that related to this step up by roughly EUR4 million?
Dietmar Siemssen: Before you start, I have to do this because this is a key question. If you want to change the mix of your profitability in the company, you have -- and you -- forming the company from a commodity volume provider into a high-value product, you have to make sure that you have the right solutions for the customer. What have we found a couple of years ago when we started our strategy, it was clear we had not enough innovation power in the company. So it was clear that we increase the amount of R&D, and this is what actually pays off because that's where you have the high-value products. And you have that there are high amount of additional wins. This is a result out of this and we increased definitely the R&D, which is, by the way, soaked up in the margin, and it's very well. And Bernd will explain to you how much it actually is.
Dr. Bernd Metzner: Yes. What you just said, I think, it does acknowledge our R&D expenses and the explanation was given by Dietmar. Nothing to add. Thank you.
Alexander Galitsa: Perfect. Thanks very much. I appreciate it.
Carolin Nadilo: The next question comes from -- all right. Next question comes from Chris Gretler from Credit Suisse. Good morning, Chris.
Christoph Gretler: Hello, Carol. Thanks. Good morning, Dietmar and Bernd. Actually, maybe three questions. The first is just on the High Value Solutions. Actually, you provide a number, a hard number -- how that grew in Q1 by chanced? I think in the past you did?
Dr. Bernd Metzner: Yes. Basically, it was in the first quarter. It was four percentage points of growth in the first quarter, High Value Solutions.
Christoph Gretler: Okay. Thanks. So held back by this phasing effect. And then the second question is on the -- I mean, picking up actually on comments from Dietmar on R&D. I mean in your autoinjector business, could you actually kind of explain to us what technology content you provide? I mean I understand it's mainly contract manufacturing at this stage, but I think you also added some technology at some stage. So maybe could you elaborate what is your capability level in autoinjector these days that you can offer to clients?
Dietmar Siemssen: I love this question, it's perfect. I really love it because why do we call it increasing amount of medical device area, not contract manufacturing because the contract manufacturer actually implies that you are just working like an extended workbench. But this is years ago, the value, and this is the core competence that we, as a company, actually bring in is the ability to industrialize the product. What we do meanwhile is the customer is coming with an almost ready product, we even -- its support in the engineering time for the device itself because we know how to produce it in the right way. The core capability of a company as Gerresheimer is that we know how to set up the lines. We are the ones that are -- how do you have to set up the lines? How do the molds have to look like? How is the assembly process? And that is a core capability very few companies in the world actually have. Also this is only -- if it's a handful of companies out there that are able to produce a device in a high volume through top quality to an attractive price and that's why the number of players that are able to provide the service in this league for example for an call it Eli Lilly Autoinjector or could be another autoinjector are very limited. And that's one of the core capabilities of Gerresheimer plus, of course, the global footprint that supports us here as well.
Christoph Gretler: Okay. Sounds like you have a comprehensive solution as well. And then just on this the RTF syringe manufacturing lines, you mentioned this new technology. Maybe could you also elaborate on that? What is different relative to your order generation? And also if you could discuss the unit cost reduction that you can achieve now using these new lines or is it purely to produce higher-end syringes? Thank you.
Carolin Nadilo: Chris, can you please repeat? It was hard to understand, sorry.
Christoph Gretler: Sorry, yes, the question was on the new technologies in the RTF syringe manufacturing lines. Could you discuss whether there is a positive margin impact also coming from reduced unit costs that come with this new technology or is it purely kind of to improve the quality of the output and be able to charge higher prices essentially?
Dietmar Siemssen: Not much, but I didn't get the question on the first hand that the connection was not good. Yes, that's also a very relevant question, and I totally agree that innovation and the new technology that we are actively bringing into the syringes will automatically lead to this margin increase. The margin increase you will see in the syringe areas is one of the strongest in the total company over the loop of the next years. And it is primarily, if not only based on new technology beside the low-cost side in Skopje, but the rest is all coming from new technologies, whether it's siliconized tungsten-free syringes or double-chamber syringes, solutions like this that have a total different margin profile than a classic commodity syringe.
Christoph Gretler: Okay. Thank you. I appreciate your comments.
Carolin Nadilo: Are there any further questions? As this is not the case, we would like to thank you for joining us today. It was a pleasure working with you. I will reach out personally. All the best, and take care.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect your telephone.